Operator: Good day, ladies and gentlemen, and welcome to the MultiChoice Group FY '25 Results Call. [Operator Instructions] Please note that this call is being recorded. I would now like to turn the conference over to Meloy Horn. Please go ahead.
Meloy Horn: Thank you, Irene, and hello, everyone. Thank you for joining us today. As usual, to present our results, we have Calvo Mawela, our CEO; and Tim Jacobs, our CFO. And also joining for the Q&A session is Richard Tessendorf, our new Corporate CFO; as well as Nick and Zintle from the IR team. So let me hand over to Calvo to start today's presentation.
Calvo Phedi Mawela: Good afternoon, everyone, and welcome to our results presentation. Let's start by turning to Slide 2 for some upfront comments. As we look back on FY '25, it has clearly been a challenging year. Our business has been tested in ways we could not have predicted, but we remain resolute in confronting obstacles head on. We entered the year with a business plan that factored in some of our critical risks, including a stressed consumer environment across the continent, a materially weaker naira and a peak investment cycle for Showmax. The ongoing cost of living crisis has meant that households are struggling to make and meet and many had no choice but to give up their DSTv subscriptions for the time being. Combined with the impact of power issues in large markets like Nigeria and Zambia, we saw our linear customer base declined by 8% year-on-year to 14.5 million active subscribers. Although this trend is an improvement on FY '24, it indicates ongoing and broad- based pressure across our customer base. As we had to absorb another ZAR 5.2 billion currency [ knock ] to our top line, mainly caused by a weaker naira, we've had to act decisively to ensure that the business could withstand the headwinds. We implemented further cost efficiencies and delivered ZAR 3.7 billion in cost savings for the year, well ahead of the ZAR 2.5 billion revised target set at the interim stage and almost double the ZAR 1.1 billion -- ZAR 1.9 billion saved last year. The ongoing evolution of the global video entertainment industry has presented us with opportunities to grow new revenue lines. During the past year, DSTv Internet, DSTv Stream, KingMakers and Showmax have all shown encouraging growth momentum and some are already making meaningful contributions. This is a quick snapshot of our performance, but we'd like to update you in more detail. In the rest of today's presentation, I would like to provide you with a strategic overview and operational update, while Tim will discuss our financial performance and outlook for FY '26. Sub-Saharan Africa remains a compelling long-term opportunity despite the near- term challenges. Growth in the working age population, rapid urbanization, rising electrification and increased connectivity are all factors that will support the growing middle class and addressable market over time. Our strategy is shaped by industry developments and changes in technology, which are driving shifts in consumer behavior. We are responding to this proactively to ensure the long- term sustainability of our business. Slide 5 highlights some of these trends. Streaming has transformed the way we consume video entertainment, shifting from traditional TV to on-demand digital platforms. Offering convenience and personalization, streamers like Netflix, Hulu and Amazon Prime have revolutionized access to movies and TV shows. As MultiChoice, we have responded by relaunching Showmax in February 2024, leveraging the world-class Peacock platform with the sports streaming capabilities, and we have increased our focus on our DSTv stream service, leading to great results. Aggregation has become more commonplace through hard bundles and connected devices. Examples are Sky, which now offer Netflix or Paramount+ subscriptions, while CANAL+ has aggregation deals with Netflix, Apple TV, Paramount and Max. In our case, MultiChoice customers have the option of adding Showmax, Netflix, Disney+ or the Amazon Prime video streaming service to their subscription. Global streamers are also increasingly pursuing sports rights to booster their offerings. As an example, Netflix secured rights to wrestling flagship show Raw and has been broadcasting events such as the Tyson-Paul Fight and the NFL on Christmas Day. Amazon has launched Prime Video Sports, offering access to several sporting codes, including Thursday Night Football, NASCAR and the NBA. On the MultiChoice side, we have launched our Showmax service with a stand-alone Mobile Premier League offering and have since added the PSL as well. Consolidation has also become a major industry theme with several global media players combining to drive scale and operating leverage. There have been many of these measures over the past year or so, including Skydance acquiring Paramount in the U.S., the Disney-Reliance merger in India and the DAZN Group acquiring Foxtel in Australia. The proposed acquisition of MultiChoice by CANAL+ is another example of this global consolidation trend. Let's turn to Slide 6 for more details. A combined group will provide benefits to us as well as CANAL+ for the following reasons. The combination will provide the scale necessary to invest more in offering subscribers best-in-class customer experience across all technical platforms. With increased resources, the combined group will be well positioned to benefit from the long-term growth potential of the African continent and compete more effectively against global media players. The two groups have a complementary and much larger African footprint over which to amortize costs such as tech, IT, SG&A as well as international content costs. The combined group will have an enhanced risk profile and be better positioned to face headwinds given its broader geographical spread across multiple markets with different macroeconomics and currencies on three continents. This widespread of operation will also allow for better sharing of resources and know-how. Finally, the combined group will be well positioned to better leverage adjacent businesses across a much larger customer base. Turning to Slide 7. CANAL+' ambition is to build a global entertainment leader with Africa at its heart. MultiChoice is a key element of this plan, which is why CANAL+ is offering ZAR 125 per share for the MultiChoice shares it does not already own. To allow sufficient time for the regulatory process to be completed, the long stop date for the mandatory offer has been extended to 8 October 2025. The teams on both sides have been hard at work to move the proposed transaction ahead, and we have reached several important milestones along the way. Perhaps the most important development to date has been the positive recommendation issued by the South African Competition Commission to approve the transaction, subject to a package of public interest commitments that we agreed with the commission. These commitments include a moratorium on retreatment for a period of 3 years and support for participation of SMMEs and firms controlled by historically disadvantaged persons in South Africa's audiovisual industry. It also includes a commitment to maintain funding for South African general entertainment and sport content, providing local content creators with a strong foundation for future success. In addition, CANAL+ has undertaken that MultiChoice will remain incorporated and headquartered in South Africa. It will pursue a secondary inward listing on the JSE within 9 months of the letter of the implementation date and the date on which MCG ceases to be listed. The proposed transaction will now be considered by the South African Competition Tribunal. This approval, together with the fulfillment of the remaining conditions are required for the offer to become unconditional. We are continuing to cooperate with all regulatory authorities to move things along in a timely way. As I've said before, we look forward to closing the transaction in the not-too-distant future, not only for the benefit of shareholders, but also for our customers and the multiple industries that depend on MultiChoice. This concludes my overview. Let's now move to discuss our operational performance. On Slide 9, I would like to remind you of our strategy, building Africa's entertainment platform of choice. As the continent's most loved store retailer, we keep enriching the lives of millions of people through entertainment and technology, catering for their entertainment needs in their homes and on the move. We continue to innovate, partner and invest as we grow from our core linear video entertainment business by developing and scaling adjacent streaming and interactive entertainment services. Our aim is to entice customers to stay within our platform, providing solutions beyond just video entertainment from technologies required to access our content, financial services that allow them to pay for their entertainment or ensure their equipment to interactive gaming that adds to their fun. Turning to Slide 10. Catering to diverse local languages and cultural needs, we create stories in more than 45 languages across the continent. Our investment in local content is a key differentiator in our content strategy, and we remain the largest producer of original content in Africa. As we have produced more than 5,000 hours of local content this year, our local content library has now expanded to over 91,000 hours. A tactical rebalance of our spend in a cost-conscious environment has resulted in local content costs reducing 9% year-on-year, but it still accounted for just over 50% of the year's general entertainment spend. Some of the year's local content highlights include Die Brug, Umkhokha and Queen Modjadji in South Africa, while Omera, Zari and Shanga were popular in the rest of Africa. Showmax viewers loved Youngins, Adulting, The Real Housewives and the Steinheist documentary. Sport on Slide 11 is another critical element of our content strategy. We reinforced our reputation as a global leader in sport broadcasting with SuperSport's extensive coverage of the Paris 2024 Olympic Games, EURO 2024 Football, three major ICC Cricket tournaments, our own SA20 Season 3 and several Springbok Rugby tests. In addition, the United Rugby Championship and Currie Cup delivered strong growth with viewership up 23% and 29%, respectively, from the previous season. Dricus du Plessis’ second UFC World title fight against Sean Strickland set a new viewership record on SuperSport. Over the past year, SuperSport broadcast over 47,000 hours of live coverage, up 7% from last year, and we are responsible for the production of more than 1,000 live events. We also renewed popular sport broadcasting rights such as [ local ] Football, Wimbledon, Masters Golf, World Athletics and the Varsity Cup. SuperSport Schools continues to redefine the landscape of school sports broadcasting. The platform increased its app user base by 46% to 1.2 million registered users, reached almost 11 million unique viewers on the app and through Channel 216 on DSTv and delivered over 50,000 hours of new content. This year also saw the SuperSport Schools channel being made available on SABC Plus, while the Schools SA20 Cricket competition was launched in partnership with Cricket South Africa and SA20. Moving to Slide 12. The third leg of our content strategy involves international general entertainment content from world-class studios. In the past year, we secured popular content like House of Dragons, The Penguin, and White Lotus, while launching hits like Day of the Jackal and a much anticipated spin-off series Suits LA. We renewed important channel agreements such as Paramount and Zee, secured a strong Indian channel lineup and ensured rights to popular market-specific channels such as Moja Love and Panda Kids. In addition, we completed two co-productions, The Fix and Original Sin with international studio partners. The South African economy saw some signs of potential improvement in the current year as inflation eased and the Reserve Bank started lowering interest rate. However, high unemployment, low economic growth and the ongoing effect of load reductions have meant that the South African consumer remains under significant financial pressure, which is negatively affecting businesses such as MultiChoice that provide discretionary products and services. On Slide 13, the chart on the top left of this page shows the clear correlation between deteriorating consumer spending over time and the related negative trajectory of our customer base. Against this background, the past year saw an 8% year-on-year decline in active subscriber to 7 million. This negative trend was evident across all three tiers, suggesting that economic hardships and affordability remain a challenge across the board. On the positive side, inflation-linked price increases of 6%, a fairly stable subscriber mix and active days being only marginally down resulted in blended ARPU increasing 4% year-on-year. We are also encouraged by the strong growth of new business lines, including DSTv Internet, which grew customers by 45% and revenues 85%, while DSTv stream delivered 48% top line growth. As a mature business, MultiChoice South Africa is focused on subscriber retention and win backs, identifying remaining growth opportunities as well as optimizing processes and systems to improve our customer experience and operational efficiency. Slide 14 reflects several enhancements implemented by the MultiChoice South Africa team to improve its customer value proposition and expand its market presence. Our value proposition was improved by tiering down certain channels, reintroducing the second concurrent stream at no extra cost and pricing down our DSTv add movies package from ZAR 79 to ZAR 49. We also entered new strategic partnerships with Capitec, MTN and PEP to expand our market presence and bundle our products to offer superior home entertainment solutions at affordable prices. DSTv Rewards continues to grow and drive customer loyalty, especially through our innovative customer experiences such as early ticket windows to Springbok test matches, tickets to Chris Barrow live in SA and the DSTv Delicious Festival. This saw us being voted the best loyalty program in SA in the entertainment and leisure category. We continue to bundle DSTv Internet with our streaming product, DSTv Stream and Showmax at competitive prices to drive better customer retention. We provided better decoder pricing to retail partners, resulting in the business surpassing its annual decoder sales target. And we introduced the Customer First Every Time initiative to drive customer satisfaction. On Slide 15, we reflect on the trends impacting our business in the Rest of Africa. This segment has been impacted by material foreign currency movements in key markets, the ongoing cost of living crisis across the continent, power disruptions as well as civil unrest in Nigeria and Mozambique. Foreign currency depreciation across several markets, most notably in Nigeria, where the naira depreciated by another 44% against the dollar, Angola, Ghana and Malawi costed a 26% loss in revenue on a reported basis. To reduce the negative impact of challenges across our markets, we processed through inflationary pricing of 31% on average across the markets, and we launched a pilot project in Uganda post year-end, introducing weekly subscriptions to better align subscription periods with customers' cash flows. If this works, the plan is to roll it out elsewhere. The Rest of Africa business reduces costs further by cutting subsidies, lowering marketing spend and increasing focus on digital marketing. We also reduced content spend and lower transmission spend through ongoing initiatives to optimize satellite capacity and costs. Slide 16 shows the Rest of Africa's operating performance, which has been hampered by ongoing challenges mainly in Nigeria, which accounted for the bulk of subscriber losses and Zambia, where disrupted power supply has been a major issue. We are pleased to report that the pressure on the customer base eased in the second half of the year as the graph from the bottom left indicates. The Rest of Africa ended FY '25 with 7.5 million subscribers, the same as at the interim stage. A combination of a marginally weaker customer mix, lower activity levels due to power outages in Nigeria, Zambia and Zimbabwe and severe currency weaknesses across many markets, partially offset by price increases to absorb higher inflation has resulted in the blended ARPU dropping from $9 to $8. Moving to Slide 17. We remain convinced that streaming represents the future of video entertainment. It has just been over a year since the group relaunched Showmax in Sub-Saharan Africa with the ambition of becoming the leading streaming platform on the continent. As a start-up business, Showmax focused on enhancing its content lineup, bedding down distribution partnerships, expanding payment channel integration and refining its go-to-market strategy. Although the segment has lagged its initial growth targets, it has still delivered healthy 44% growth in active paying subscribers and gained market share. After focusing on key market launches in South Africa and Nigeria in FY '24, Showmax expanded its local focus to Kenya and Tanzania through data partnerships with leading local telco partners as well as Ghana, Uganda and Zambia through payment partnerships with leading local payment platforms. To drive uptake, Showmax released 82 Showmax originals this year. This was complemented by a rich international content slate, while the Premier League football offering was expanded to include the South African Premier Soccer League and some elements of the EURO 2024 and Olympics. Showmax also leveraged its live streaming capability to become the first African streaming service to live stream a music concert by homegrown in Thailand. Given the slower-than-expected initial demand and ongoing macro constraints, we are critically reviewing the Showmax business plan. Turning to Slide 18. Irdeto delivered encouraging external revenue growth after securing a significant new contract with Astro Malaysia, a major broadcaster in Asia for a complete management solution. Revenues generated from new services increased to a ping 42%, supported by innovative solutions to enhance security and interoperability in the transportation sector. In gaming, Irdeto expanded revenue from game releases in China and leverage its core cybersecurity competencies to better service customers. In connected transport, Irdeto has deployed its digital key solutions to the truck fleets of two of three largest logistics companies operating in the U.S. market. with its customer reporting significant improvement in utilization and efficiency using the solution. Irdeto has materially stepped up its focus to support the group in combating piracy, which has become a challenge for broadcasters globally as pirated distribution of content via streaming websites and social media platform increases. This past year, Irdeto ensured a 63% increase in the number of streaming piracy services that were aided or disconnected. On Slide 19, KingMakers, the interactive gaming betting business in which we have 49% stake, delivered a solid performance in terms of organic growth and operational execution. Net gaming revenue grew by 76% to $106 million on an organic basis, while EBITDA losses declined by 83%. This was underpinned by a strong improvement in the operating performance of the Nigerian business, which benefited from a better customer cohort and revenue generation in the South African business. The Nigerian business remains EBITDA positive, but the investment to launch SuperSportBet in South Africa and the effect of a weak naira resulted in EBITDA loss for the group as a whole. The business is sufficiently capitalized to fund this growth ambition and held cash balances of $97 million at end of December. BetKing Nigeria maintained strong momentum. It is acquiring better quality first-time betas as evidenced by higher average wage per user and is enjoying significant growth in its higher-margin online business. SuperSportBet, the South African business that launched in 2024, is showing early signs of success and reported a material increase in monthly net gaming revenue over the year. As a new start-up, the business has been focusing on refining its business model, ensuring platform and operational stability and on working with the Western Cape, Gambling and Racing Board to launch Aviator and other casino offerings to fully round out the platform's iGaming portfolio offering. Moment, which is now live in 44 African countries, continued to grow rapidly with total payment volumes reaching $635 million, up sevenfold from FY '24. At the end of March, Moment reported an annualized run rate exceeding $1 billion. Its momentum was supported by a rapid acceleration of payment volume migration for DSTv, GOtv and Showmax onto the Moment payment infrastructure, which processed 56% of the group's payment volumes compared to 20% a year ago. Moment launched voucher management to unlock strategic distribution channels for Showmax. As a service provider to DSTv, it improved in-store payment collections during power outages, launched Pay on TV by QR code, which improved subscriber activity by 1.5 active days and reduced cost of payment by 5% for DSTv payment channels that have gone live. Along with other backups, we contributed $8 million to Moment's seat extension fundraise in May 2024. We hold a 28.5% stake in Moment. That concludes the operational overview. While our performance does not reflect the growth ambitions we set for ourselves at the start of the year, it tells a story of perseverance and an organization determined to succeed. I'm incredibly proud of the dedication shown by our teams across the business. They did an excellent job if you consider the magnitude of external challenges that we had to face. Not only did they navigate and manage the things under their control, but they reduce costs, delivered for our customers and make sure that we grow our new initiatives. To tell you more, I would like to invite Tim, our CFO, to take you through our financials.
Timothy Neil Jacobs: Thank you, Calvo. As we outlined in our trading statement and as mentioned by Calvo earlier, our results were hard hit by weak subscriber growth due to poor macro dynamics and the sustained pressure on consumers as well as lapping the full impact of the naira depreciation from financial year '24 and the cost of investing in Showmax, which we expensed through the income statement. This relentless environment required us to do substantial ramp-up of cost savings efforts to offset the top line pressure and position the group in the best manner to weather the storm. This is exactly what we've done over the past year. So let's turn to Page 22 for an overview of how this played out in our financials. Last year, we generated ZAR 7.9 billion in trading profit. This year, we delivered a ZAR 1.6 billion improvement in the core business through inflationary pricing and the step-up in cost-saving initiatives. Consequently, trading profit before investments and foreign exchange was up 20% year-on-year. This created some headroom for our Showmax investment, which was ramped up by ZAR 2.3 billion to create capacity for future growth. The result was an organic trading profit of ZAR 7.2 billion. Although profit decreased 9% year-on-year, we remind ourselves of the conscious decision to adapt to industry changes and the necessity to invest in the future of the group through our OTT business. While the timing has not been perfect, we believe that a significant opportunity exists for growth. Unfortunately, we have had to absorb a further ZAR 3 billion in foreign currency pressure as the severe naira weakness towards the end of financial year '24 rolled fully into this financial year. As a result, reported trading profit of ZAR 4 billion was materially down year-on-year. As exchange rates in Nigeria have stabilized, we would like to believe that the group has largely absorbed the full impact of the depreciation. Moving to Slide 23. We look at subscriber numbers and subscription revenue. The chart on the left shows our active subscribers down 8% year-on-year due to ongoing consumer pressure in both South Africa and the Rest of Africa, especially in key territories such as Nigeria and Zambia. One positive is that the rate of decline in subscribers on a sequential basis has improved materially, underpinned by the stabilization of the Rest of Africa subscriber base at similar levels to that reported at interim. As a result of our annual price increases, averaging 5.7% in South Africa and 31% in the Rest of Africa, the financial impact of these subscriber losses on subscription revenue was limited to an organic decline of only 1%. This was the net result of a 1% growth in the Rest of Africa and a 27% growth reported by Showmax, offset by a 3% decline in subscription revenues in South Africa due to lower customer volumes. Again, the impact of weak local currencies in Rest of Africa markets against the U.S. dollar materially impacted reported results. The 23% decline in the contribution from the Rest of Africa and lower revenues from Showmax due to the one-off impact of the discontinued Showmax Pro and diaspora offerings in the second half of financial year '24 resulted in an 11% reduction in the group's overall subscription revenues on a reported basis. Slide 24 shows our revenue growth split by business segment and type. Group revenue of ZAR 50.8 billion represents an increase of 1% year-on-year on an organic basis. South Africa's revenue was marginally down 1% due to lower subscriber numbers, offset by improved advertising revenue on the back of a strong sports schedule and a 17% rise in Irdeto’ sales as a result of increased pricing to support a more economical subsidy strategy in a mature market. Revenue in Rest of Africa was up 3% organically, underpinned by price increases, which supported subscription revenues. Advertising revenues benefited from the growth of indigenous brands and the expansion of our digital offerings in Nigeria, which more than offset the impact of the exit of high-profile international consumer brands from that market. Dakota revenues improved 16% organically on the back of the higher retail pricing, which has aided the business in managing a lower subsidy investment. Irdeto delivered an 8% organic increase in revenues due to the implementation of a major project to power Astro Malaysia's next- generation streaming platform, combined with 8% revenue growth in its Connected Transport segment. Following the deconsolidation of the NMSIS Insurance business after selling 60% to Sanlam, the reported insurance revenue only reflects 8 months of revenue and was therefore 20% lower year-on-year in the reported revenue number. Other revenue reflects the growth in the DSTv Internet base within the fixed wireless space as we bundled its services with our streaming products, DSTv Stream and Showmax. Incorporating the impact of currency weakness, group revenue declined 9% year-on-year on a reported basis. Slide 25 provides a summary of our trading profit and margins. South Africa's trading profit of ZAR 9.4 billion improved by ZAR 647 million year-on-year. The benefit of the ramped-up cost savings offset the negative impact of lower subscription revenues and resulted in a trading profit margin of 28.6% Organic trading profit in the Rest of Africa almost doubled to ZAR 2.3 billion. However, significant foreign exchange losses wiped out this gain on a reported basis, resulting in a negative 5% trading margin, which I'll unpack in more detail on the next slide. The debtors trading profit margin narrowed to 17% following the lower margin mix arising from the decreased intergroup revenues. Trading losses in Showmax increased from ZAR 2.6 billion to ZAR 4.9 billion as financial year '25 was the segment's peak investment year. The major cost drivers were a step change in content costs and an increase in platform costs. On Slide 26, we provide our trading profit bridge for the Rest of Africa. Last year, this segment reported a ZAR 1.3 billion trading profit and a 6.7% trading margin. This year, it benefited from inflationary price increases averaging 31%, which more than offset the negative impact of subscriber losses. It was further supported by tight cost management, especially the reduction in content costs and decoder subsidies as we continue to rightsize the business. Unfortunately, these gains were trimmed by the nonrecurrence of tax accrual releases in the prior year amounting to ZAR 500 million. Nonetheless, organic trading profit increased materially from ZAR 1.3 billion to ZAR 2.3 billion. Currency headwinds amounted to a considerable ZAR 3.1 billion and reversed all the gains made on an operational basis. This was caused by weaker currencies in Nigeria, Ghana, Zambia and Angola, coupled with a negative impact of translating the segment's U.S. dollar revenues against the stronger rand. The net result was a trading loss of ZAR 800 million on a reported basis. Moving to Slide 27. We analyze our operating leverage and cost savings. Total costs escalated by more than our revenues due to the strategic investment in Showmax. This resulted in a negative 1.6% operating leverage measured on an organic basis. Just to highlight the magnitude of the saving, if we had to exclude the increased Showmax investment, organic operating leverage would have been a positive 3.2% A key underpin to these results was a material ramp-up in cost reductions, which delivered ZAR 3.7 billion in sustainable cost savings, representing 7.9% of the group's cost base. The most significant savings were extracted from content costs as well as various SG&A expenses grouped together under other initiatives. We also reduced decoder subsidies by another ZAR 400 million in addition to the ZAR 2.2 billion in savings last year. Future savings are likely to be derived from renegotiated content agreements upon renewal of rights, ongoing general business efficiency drives, lower costs associated with capital projects and reduced transponder costs. On Slide 28, we reflect on adjusted core headline earnings, the Board's measure of the underlying performance of the business. This metric shows a ZAR 2.1 billion decrease year-on-year to a loss of ZAR 800 million. Not only did the foreign exchange losses in the Rest of Africa and the investment in Showmax impact negatively on trading profits, but the South African business incurred realized foreign exchange losses on its hedge book due to the strengthening of the spot rand as well as the higher average hedge rate, offsetting the benefit of lower cash extraction losses from Nigeria. Losses on cash remittances amounted to ZAR 93 million after minorities compared to ZAR 859 million the year before. Lower taxes arising from lower profitability and lower tax provisions across our Rest of Africa markets resulted in a ZAR 1.5 billion benefit. Slide 29 provides an update on our free cash flow, which reduced by ZAR 1.1 billion year-on-year. The waterfall graph highlights the key movements this year. Starting from the left, we generated ZAR 600 million in free cash flow last year. This year's lower EBITDA resulted in a ZAR 2.3 billion outflow. Content payments came in at ZAR 1.2 billion lower due to negotiated cost savings, increased business efficiencies and benefits from prior year prepayments. Lower inventory purchases due to higher opening stock levels and better inventory management resulted in a ZAR 1 billion free cash flow benefit. Finally, the timing of payments to our suppliers resulted in an additional outflow of ZAR 1 billion. This left the group with a net ZAR 516 million free cash outflow for the year. Moving to Slide 30. We continue to exercise discipline in managing our liquidity position. Our cash balance at the year-end reflects a healthy ZAR 5.1 billion. We retain access to ZAR 3 billion in undrawn group banking facilities, which, combined with the cash represents more than ZAR 8 billion in total funding available. Existing short-term cash commitments and illiquid cash amounts to ZAR 2.7 billion. After taking into account the difficult trading environment, the group's financial performance and the need to invest in critical areas of the business, MultiChoice South Africa has lowered its dividend to ZAR 1.65 billion. As a result, ZAR 389 million will leave the group as payment to Phuthuma Nathi shareholders. This leaves us with ZAR 2 billion in available cash before considering additional cash to be generated by operations and provide sufficient financial flexibility to fund our business plans. Our debt position reduced to ZAR 11.1 billion. Our leverage ratio of 2.2x after including satellite leases remains within our debt covenants. This wraps up the overview of our financial performance. Let's turn to Slide 32 for some comments on our outlook for the year ahead. Given the July hearing scheduled by South Africa's Competition Tribunal, we are forging ahead to ensure we meet all the required conditions of the proposed acquisition by CANAL+ in order for the transaction to be unconditionally approved before the long stop date. Operationally, our focus remains on creating long- term value for shareholders by taking bold and decisive action to future-proof the business. In this context, we remain focused on the following strategic priorities: prioritizing profitability and cash flow by ensuring the South Africa business delivers trading margins in the mid-20s by returning Rest of Africa to profitability and reducing trading losses in Showmax ensuring that the cost base is fit for purpose with a cost-saving target of at least ZAR 2 billion for financial year '26. Managing our balance sheet, which includes improving our solvency and liquidity profiles to ensure that we are within our cash and facility limits and maintaining a positive equity position and enhancing our customer value proposition by exploring and expanding partnerships across the value chain, executing on a range of targeted top line initiatives to reduce churn and drive growth in our auxiliary value-added businesses. That concludes our presentation for today, and we're happy to now take some questions.
Operator: [Operator Instructions] The first question we have is from Jono Bradley of Absa.
Jonathan Bradley: If I could just ask three, please. So firstly, if we start on pricing, how are you thinking about price increases across your customer segments for South Africa and the Rest of Africa, given the pressure you're seeing on the subscriber base? I mean, will you sort of step back a bit or aim to maintain a similar level of increases going forward? And then secondly, on the cost side, it looks like decoder purchases increased in South Africa, while the rest of Africa reduced. I know subsidies overall have been coming down quite a bit, but can you give some color on what's actually driving that difference between the two markets? And then finally, on Showmax, are you able to give us a bit of a steer around the cost trajectory for Showmax this year after the sort of cost around ZAR 5.1 billion last year. I mean, how much of that cost is related to the initial sort of start-up costs versus a sustainable cost base? And I guess related to that on the sort of thinking around pricing, with the recent Showmax price increases sort of a once- off? Or would we see that sort of annually?
Calvo Phedi Mawela: Thank you for the question. I'll respond to the first question and Tim will respond to the questions that you've asked. With regard to price increases in the markets that we operate in, including South Africa and the Rest of Africa, our view is that to price in line with inflation. We think there is very good value in the product that we bring to the market at various price levels based on the that we currently have. Unfortunately, as we have seen in the last two years as a result of inflation in many of our markets being very high, we expect that the price increases that we are putting in, though we try to stagger them twice a year, are definitely going to have an impact on our subscriber base. But since this financial year, we are seeing stability in foreign currency across many of the markets that we operate in and even South Africa, there is an element of stability. We think consumers will begin to adjust to the pricing that we have in the market, and we should see better traction as consumers adjust to the current levels of pricing that we have in [indiscernible].
Timothy Neil Jacobs: Okay. So on the difference between the decoder purchases between South Africa and the Rest of Africa, I think that we were sitting in a situation where we had an extreme environment in the rest of Africa, and particularly in our second biggest market on the continent, which is Nigeria. And given the massive currency impacts as well as the consumer being under material stress, we felt that it was important for us in the very short term to reduce these subsidies as quickly as we could in order to offset some of the impacts that were coming out of the market. And so the Rest of Africa subsidies, it wasn't zero, but we did decrease the subsidies further than from what it was in the previous year. In the South African market, as you can see from the performance, there, it's a slightly different dynamic. We're trying to balance the best economic outcome, while at the same time, understanding that we do need to start a trajectory towards removing the subsidies from this market over time, especially now that we have alternative products that people can buy like DSTv stream that one come at a discount, two, do not have a kit at all or decoder. So we felt that the balance between those two priorities reflected the specific circumstances of the different markets that we operated in. The third question is about Showmax costs going forward. So I don't have a specific number or a target for you. What we can say is the following. Firstly, I think there is an element of start-up costs. We invested about just over $70 million, what is it, 18 months ago in the development of the platform cost. So that was kind of like pre-go-live development work. That's been depreciated over 7 years. And the rest of the costs in this business are effectively ongoing normal start-up costs and expansion costs. I think the challenge that we clearly see is that the subscriber growth for Showmax, although it is doing relatively well, and we are gaining market share in the current -- in the year that's just passed, the level of growth is still not at the level that we had anticipated in our original business plans. And as a consequence of that, plus the fact that we lost the Diaspora and the Showmax Pro revenues, that enhanced the net investment that we had to make in this business in the short term. Now the one thing that we are absolutely clear about is that the level of cost in Showmax is not sustainable. And we are currently working on a number of initiatives to have this cost reduced quite materially in the year ahead and then looking at more structural potential changes to this business, which are a little bit more complicated to execute, but we are looking at more structural changes in order to reduce the cost further. So both of those are very much on our radar at the moment. And then with regards to the question on price increases, I think, number one, we entered the market with very aggressive price points. We did get some really good growth over the last year relative to some of the other platforms and competitors in the marketplace. But at the same time, a number of those competitors have been putting their prices up, and we felt it was appropriate for us to also follow suit and start increasing our prices of what was a very aggressive introductory offer that was in the market. So in terms of price increases going forward, I think it's going to be a combination of two things. One, it's going to be a combination of what take-up we see at these price points. And number two, what our competitors are doing in the market relative to our price points.
Jonathan Bradley: And maybe if I can just ask one follow-up to that. I mean, after you increased prices in Showmax, I mean, did you see any sort of material change in subscriber activity and sort of sign-up trajectory? Or has that sort of been as expected, hasn't been a material impact?
Timothy Neil Jacobs: No. The trend has been pretty much cyclical as we would expect at this time of the year. The OTT business is cyclical, very similar to what we see in the linear business, and the trends didn't materially change.
Operator: At this time, we don't have any questions on the conference call, and I would like to hand over to Meloy for any webcast questions.
Meloy Horn: Yes. Thank you, Irene. We've got several. So we're going to run through them one by one. We have Richard Cheesman asking whether we could expand on the group's subscriber trends and how these have evolved since year-end and whether we could expect this level of attrition to continue or to stabilize and also whether the cost-cutting measures such as the La subsidies perhaps hampered subscriber numbers.
Calvo Phedi Mawela: Yes. Thanks, Meloy. I'll respond to this question. When we compare year-on-year during this time, this year has played out better than what we saw in the last year, it shows that things are improving a little bit. But what we will caution as well about this time of the year is that period where the English Premier League just ended and during this period, then we see a decline in subscriber base. But compare year-on-year, it's much better this year than we saw last year. In terms of the decoder subsidies, we took that conscious decision knowing very well that as the price of decoders is going to be higher, the subscriber numbers are also going to be not as expected in the past. However, when you look at the people that are able to pay at that higher price, these are value customers that stay longer with you because they can be able to afford at those price levels. So all in all, it works in our favor, especially during this difficult period where we decided that we manage this business more for cash than for growth.
Meloy Horn: The second question relates around the subscriber numbers for Showmax, which we don't disclose publicly. Maybe just bear in mind, this business is only 13 months old. It's really a start-up and in a very competitive space because streaming is the future. And so from our perspective, at the right point in time, we will share these numbers. What we have shared with the market is that the subscriber growth for paying Showmax subscribers was 44% year-on-year. Then a question around the Competition Commission meeting. When that date is? I mean, I maybe can answer that one. It's been indicated that, that would be in July. And when the commission is ready or the tribunal ready, they will obviously communicate that date. They have a public platform to do so. And then the second question for Calvo, whether we need to buy in from all other countries for the deal or whether the last requirement is the competition tribunal meeting.
Calvo Phedi Mawela: Thanks, Meloy, for that question. Yes, we do have some countries that we also need approvals for. But so far, all things have been moving completely in line with what we expected, especially considering the long stop date of 8th of October. So from where we're looking at this transaction, we believe very strongly that we should be able to get the necessary support before the long stop date just based on the iteration that we have been having with a number of regulators across the continent, including South Africa.
Meloy Horn: Just to be clear on that one, we have received some approvals in Africa and some others are still coming in. Then with regards to -- I'm going to just to the two minority dividend questions combined because there's a few of those. Maybe just again, we've had a question from Jonathan Kennedy-Good Jonathan from Prescient asking about some color on the Showmax take-up rates in South Africa versus Sub-Saharan Africa. I think we've already commented that whilst we had good linear growth, it's not the exponential growth that we had initially anticipated. And to maybe just provide some color of why we think it's different to expectations.
Calvo Phedi Mawela: Yes. We think some of the assumptions that we have made, especially with regard to broadband pricing across the markets in Africa have not materialized as yet, and that has slowed down the number of subscribers that we are able to get. The macroeconomic conditions in many of the countries that we operate in, especially since launching were not good enough as well, and that has impacted on us. And we are revising this business plan to make sure that we follow through with what we are seeing happening in the market.
Meloy Horn: Then there's a question around -- again, I mean, Calvo has commented on the -- actually on the long stop date. Maybe just for clarity, as per the offer circular, there is an option to extend by another 6 months, but all teams are working very focused to meet the [indiscernible] long stop date as it currently stands. There's a question around ICASA and maybe the question here is if they place the transaction -- proposed transaction structure.
Calvo Phedi Mawela: We have had several meetings with ICASA. And so far, indications are that it is imminent, and we should be able to communicate that as soon as we get that decision out of ICASA.
Meloy Horn: Then Calvo, there's one more question for you. There's been some comments around the consideration around SuperSport and our packages and how we look at that. I mean I know that we're looking broadly to as a project that all of this and no decisions has been made, do you want to comment on that?
Calvo Phedi Mawela: Yes. As part of our product offering, we have always had this project that we ran every year where we look at our packaging structures similar to what Sky did some years back where they had a basic package, they had a sport package on the side, they had a general entertainment package on the site. We have accelerated that project in terms of getting us to finalize which direction we're going to take in this financial year. And as soon as we know the outcome of that, we should be able to share with the market. But yes, we are considering all options as part of a product offering going forward.
Meloy Horn: Thank you, Calvo. And then I'm going to just kind of combine the questions that we have around the Phuthuma Nathi specifically. Questions around whether the increase in the loans to related parties kind of had an impact on the dividend declined by 70%. So to what extent these intercompany transactions influence the reduction? And also looking at the share price of the North Choice Group, which has been up year-on-year, whereas the Phuthuma Nathi share price is down, there's some comments around that and any mechanisms to address this value disconnect? And then maybe to combine that as well is that the MCSA dividend fell, whilst MultiChoice South Africa's profitability not actually been under so much pressure. So a comment on that also in relation to the covenants of the business. So I think all of that combined, there's different aspects of this, but I think Tim can kind of give you a comprehensive kind of view on why we made this decision to reduce it.
Timothy Neil Jacobs: Okay. So let's just start with two comments. Firstly, the CANAL+ integration and the intercompany loan accounts have got nothing to do with the dividend declaration itself. And I'm going to give a slightly lengthy answer to this dividend because I know that it's a super important topic for everybody, and it's a multifaceted answer. It's not about -- it's not a simplistic answer when we sit down as a Board. So firstly, just a reminder that as a business, we've always signaled our approach regarding dividends as being an option to return excess cash to shareholders. And I think if you look at the last couple of years, we've been able to demonstrate that, that really is the way we think about the business and what we try to do. However, the macroeconomic situation at the moment is very difficult and is yet to improve. And this is necessitating a more cautious approach in terms of capital preservation and the management of the debt group covenants. So if we have a look at the South African business first, the fundamentals of the South African business remain problematic. And when -- what I'm talking about here is that the business has lost 1 million subscribers and ZAR 1.7 billion in subscription revenues over the past two years. During this time, we've reduced costs materially, and this has allowed the trading profit margin to increase to 28.6%, but it remained well below historical levels. We do -- we also do not have the capacity to continue reducing costs at these levels as we do need to reinvest in certain critical areas of the business. Then if we have a look at the MultiChoice Group, our banking covenants and the banking facilities sit in the South African group, but the banking covenants are calculated at a group level. Our net asset value has been severely reduced by depreciating currencies over the past two years, and we've had to absorb ZAR 7.5 billion in foreign exchange losses in the Rest of Africa and the group as a whole. You guys will remember that at the end of last year, we were actually in a negative net asset value position. But it's not only the Africa business that is affected by foreign exchange. In the past year, the year-on-year impact from our FEC losses in South Africa has been a negative ZAR 2.3 billion relative to a ZAR 1.9 billion profit in the previous year. So these are real costs to the business, and we need to protect the balance sheet in these times of extreme volatility. And at present, our covenants do not allow for a large margin of error. For us, the key considerations when we consider the MultiChoice dividends were the need to firstly support the balance sheet as our covenants currently do not allow a margin of error, as I mentioned. Secondly, we needed to build up equity as we've only recently returned to a positive net equity position and dividend declarations draw down and decrease our levels of reserves. and three, we need to ensure the long-term sustainability of the business. If we just have a look at the realities of the Phuthuma Nathi dividend, since our listing, Phuthuma Nathi shareholders have received ZAR 17.8 billion in dividends since inception with the 1 -- and then with the ZAR 1.6 billion declared yesterday, this takes it to ZAR 19.4 billion. Since FY '23, the group shareholders have received no dividends. So there's been a significant focus by the directors to make sure that the South African business does return excess capital as it has been possible. But after taking into account the difficult trading environment, the group's financial performance and the need to invest in critical areas of the business, MultiChoice South Africa did make declaration of this lower dividend of ZAR 1.6 billion. So I think that kind of answers most of those questions with the exception of one. And that was a question around the share price. And so the question, just to remind everybody, the South Africa -- or sorry, the MultiChoice Group share price has risen by about 8%, while Phuthuma Nathi share price has declined by 50%. So a couple of things to just keep in mind here. Firstly, at an MCG level, the mandatory offer from CANAL+ to buy all the shares in the business that they don't already own is underpinning the MCG share price and is creating effectively stability despite the results that we are currently posting as a group. Importantly, the Phuthuma Nathi dividend yield over time has kind of averaged between 15% and 20% which is an enormous deal, and that has been equally the case up until the end of last year. And even at a ZAR 1.6 billion dividend that we currently declared at the current share price, we estimate that the yield is probably around about 10%. So both of these factors, when you look at share price, you can't just look at share price, you have to look at share price plus dividend yield. And if you look at this over time, I think the Phuthuma Nathi return has been fairly material. In terms of the mechanism to close this valuation disconnect, as everybody knows, we are currently under mandatory offer. And there's not a lot that we can do until the mandatory offer has run its course. And I think what we're more focused on at the moment is operational performance, stabilizing the top line, as Calvo has already mentioned, being very disciplined about our costs. And if all things move in the right direction, we can hopefully reconsider the level of dividend in the future.
Meloy Horn: Thank you, Tim. I have one question that's come through an additional question about specifically CANAL+ giving feedback on our earnings report. I think the comment there is we engage with all our shareholders either by e-mail or through meetings. And we've actually -- so from a CANAL perspective, we engage with them like everybody else. We don't share feedback from any of our shareholders. So I don't think this is a public forum for that. So we have no more questions online. Irene, I don't know if there's anything queued up on your side.
Operator: We have no other questions on the conference call. And with that, we conclude today's conference. Thank you for joining us. You may now disconnect your lines.